Operator: Good morning, and welcome to the Lydall, Incorporated Fourth Quarter and Year-End Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brendan Moynihan, Vice President, Financial Planning and Investor Relations. Please go ahead.
Brendan Moynihan: Thank you very much. Good morning, everyone, and welcome to Lydall’s fourth quarter and year-end 2019 earnings conference call. Joining me on today’s call are Sara Greenstein, President and Chief Executive Officer; and Randy Gonzales, Executive Vice President and Chief Financial Officer. As a reminder, on October 15, 2019, Lydall announced Sara’s appointment as President and CEO of Lydall effective November 18, 2019. In just a moment, Sara will begin the call with some of our initial findings and insights into Lydall and provide an overview of current marketplace conditions. Randy will follow with a review of our financial performance and discuss the key business drivers by segment. Sara will then conclude the call with a brief strategic overview of 2020 and some of the company’s key initiatives. At the end of their remarks, we’ll open the line for questions. Our quarterly earnings release was issued along with the filing of our annual Form 10-K, both are available on our website at ir.lydall.com and can be used as a reference for today’s call, along with the Q4 2019 earnings conference call presentation, which can be found at lydall.com in the Investor Relations section. As noted on Slide 2 of this presentation, any comments made on this conference call that may constitute forward-looking statements are made available pursuant to the safe harbor provision as defined in the securities laws. Please also refer to the cautionary note concerning forward-looking statements within Lydall’s Form 10-K for further information. In addition, we will be referring to non-GAAP financial measures during this conference call. A reconciliation to GAAP financials can be found in the appendix of the presentation I just referenced. With that, I’ll turn the call over to Sara.
Sara Greenstein: Thank you, Brendan. Good morning, everyone, and thank you very much for joining us this morning. Before I get started, I’d like to just take a minute and share with you what attracted me to Lydall, this role and why I’m really excited to be here at this time. I’ve been in executive level roles, most recently at U.S. Steel and around manufacturing companies for nearly two decades. One of the things that has most impressed me about Lydall is the quality and reliability of our products, the extraordinary solutions-oriented approach to customer service, and the spirit and passion of the 3,000-plus employees around the world. I really believe that there’s a lot of value to be unlocked and created. I also know it’s going to take a lot of hard work and a little bit of patience to get there. Turning to Slide 3. As Brendan mentioned, I’ve been on the job now for just over three months. And I focused the majority of my time, thus far, on visiting our operating sites around the world, meeting with our employees, the men and women, who serve as the lifeblood of Lydall and manufacture our products that our customers want to buy and initiating a process focused on where we can provide the most value to all stakeholders, to our customers, to our employees and our shareholders. I will soon shift my focus to speaking directly with customers. And while I have many insights to share about our business, I thought I’d start with the story regarding one of the experience I had while visiting one of our largest plants in North Carolina. As you might know, we have over 800 employees in our Hamptonville facility, many of whom have been with the company for decades. I had the privilege of helping to serve a traditional holiday meal in mid-December across all three shifts in the plant. And it gave me a great opportunity to meet a wide cross-section of our workforce. This visit, as with all of my visits, brought into sharp focus, the fact that Lydall is not only a global manufacturing company, but also a strong community that provides economic opportunities for all of our 3,000 plus employees and their families around the world. We have a responsibility to them as we do all of our stakeholders. While our financial performance has been both unpredictable and unacceptable for several quarters, Lydall does have a strong platform and opportunity for each business segment to leverage and grow in their respective end markets. The global footprint of our operations and our product portfolio are cornerstones on which we can drive growth. Although, each business has unique challenges in their markets, these challenges are manageable and addressable. Having said that, we will be more focused on optimizing the global footprint to better adapt to end market conditions. In order to achieve this, we must unlock value by breaking down operational barriers. While each unit has a unique business model and approach, there’s been limited collaboration between our businesses, regarding vertical market approaches or customers. We are improving communications, collaboration and driving accountability across the enterprise. I’ve also been incredibly impressed and encouraged by the strong relationships the Lydall team has developed with our customers. Our highly engineered products focus on creating custom solutions that enable us to be deeply embedded with our customers and providing high-quality, innovative and value-added solutions. These relationships are a tremendous asset to the business. And while some of the areas in which we compete have certainly become commoditized, we can and do differentiate ourselves by delivering to customers the highest quality, lowest cost products, while simultaneously partnering with them on their most complex business challenges with unmatched solutions. These are areas – there are areas that must be improved immediately, and we recognize the need to leverage our invested capital more efficiently to drive better returns on our investment. In particular, the Interface acquisition has clearly underperformed and fixing this business is a priority, given the lower demand in the markets that it serves. What’s more, Lydall has a rich repository of talent, clients, R&D and other resources that must be more effectively leveraged and integrated across the entire enterprise. To that end, we’ve engaged one of the world’s top business consulting and transformation firms and are in the process of conducting a strategic review with our executive team to evaluate Lydall’s portfolio and end markets. This process will identify and develop actions to ensure that we are leveraging our existing invested capital and other resources efficiently. It will also help prioritize strategic actions that optimize future capital allocation, all oriented towards driving long-term shareholder value. In addition, this review will provide a framework for evaluating the markets where we currently participate, along with our ability to compete in these markets. We will implement the findings of this review at a pace that is consistent with the organizational bandwidth, while prioritizing short-term wins and aligning the organization to deliver sustainable value. We expect to conclude this strategic review by the end of second quarter 2020 and expect to share more detail on the results later this year. Internally, the end markets that we serve continue to be both dynamic and challenging. With recent developments related to the coronavirus in China, we remain focused, first and foremost on the health and well-being of our 200 plus employees who work across our China operations. Following the Lunar New Year holiday, our Thermal Acoustical facility in Taicang returned to operations on February 10, albeit with less than full staff. We expect to ramp-up production to support OEM and Tier 1 customer requirement over the remainder of the first quarter, as our customers return to full production. In our Technical Nonwovens operations, production was slower to recover with our Wuxi and Yu Sheng facilities reopening on February 10 and 13th, respectively, and the Qingpu facility resuming operations the week of February 17, at reduced staffing levels. While our Performance Materials business does not have production operations in China, we are working with customers to evaluate their requirements and react accordingly. Finally, the resulting impact to our supply chain, including local logistics and deliveries to our customers have been disrupted, given transportation and logistics constraints. Considering all of these items, we expect first quarter sales will be impacted. But given the dynamic nature of this event, we cannot reliably quantify the impact at this time. Turning to Slide 4, we’ll shift to a discussion of business conditions in end markets that we serve. Let’s start with the automotive market, which after several years of growth is clearly slowing, and in some regions, in fact, contracting. While 2019 saw a modest decline in North America, including the protracted strike at General Motors, volumes in Europe were essentially flat and production in China was down significantly. Despite this, in 2019, our Thermal Acoustical Solutions business grew global sales organically by 1.1%. Current forecast for 2020 indicate a slowing in North America and Europe, or forecasts indicate flat to slightly down volumes. In particular, the European Union regulation mandating lower carbon dioxide emissions in 2020, could further impact Europeansales volume, as auto producers struggle to comply with fleet-wide targets or face significant monetary penalties. While we see a favorable uptick in 2019 European volumes related to the platform rationalization resulting from the combination of PSA and Opel, the potential impact of the pending merger with FCA is still to be determined. Finally, prior forecast for China indicated volumes would be flat in 2020. And although the full impact of the coronavirus is not fully understood, we anticipate it will be a negative impact. More generally, the European industrial sector saw slowing growth in 2019 from a variety of factors, including global trade uncertainties and the potential impacts of Brexit. We anticipate continued softness in the European industrial markets and are seeing softer backlogs in our Industrial Filtration segment and Technical Nonwovens, consistent with the slowdown in large project orders in fourth quarter 2019 compared to that same period in 2018. In Performance Materials, we anticipate full year sales, as Interface sealing products will stabilize. This assumes no significant recovery in the ag and construction equipment, automotive, small engine or related markets. While we are expecting full year sales to be down slightly in the sealing and advanced solutions segment, we expect to see sales stabilize sequentially from fourth quarter 2019, followed by a modest uptick in the second half of 2020. Globally, air and liquid filtration markets were generally stable in 2019, and we fully expect the continued demand for clean air and water will drive stable demand in 2020. On the supply side, cost for aluminum used in our Thermal Acoustical Solutions business stabilized in 2019. Average LME pricing is down for the sixth consecutive quarter and we have modeled flat pricing in 2020 for both the LME Index and midwest premium. Finally, conversion costs for 2020 in North America have been negotiated and are locked in at the same level as 2019. Polyester fiber costs used in our Filtration & Engineered Materials business segments have generally been steady through the year, and we anticipate that this will hold in 2020. Supply constraints and higher prices on meta aramid fibers used in Technical Nonwovens and Performance Materials have generally stabilized. With that, I’ll turn the call over to Randy to cover fourth quarter results.
Randy Gonzales: Thank you, Sara. Turning to Slide 5. I’ll briefly cover some key highlights for the fourth quarter and then provide an overview of our operating segment results. As a reminder, we will be discussing adjusted financial metrics, including adjusted EBITDA by segment. Before we continue, I’d like to outline the larger items that are adjusted in the fourth quarter-to-quarter period results. First, a noncash impairment charge of $64.2 million, including $63 million of goodwill impairment booked in the Performance Materials segment. The goodwill impairment is principally due to the underperformance of the Interface business that was acquired in August 2018. In addition, $2.3 million of expense related to the CEO transition and $1.9 million related to severance programs have also been adjusted. A complete reconciliation to comparable GAAP numbers are provided in the press release and earnings presentation. Fourth quarter 2019 net sales of $193 million decreased 7.9% or $16.7 million from the same period in 2018. Organically, sales decreased 8.3%, driven by weakness in Interface sealing end markets, lower demand for industrial filtration products in China and Europe, and lower domestic automotive volumes attributable to General Motor strike. Excluding a sales reduction of $3.2 million from the GM strike, sales in Thermal Acoustical Solutions were essentially flat. The strong dollar continued to be a headwind on foreign sales, reducing consolidated revenue by $1.7 million or 0.8 percentage points, and tooling sales were up $4 million or 1.9%. Acquisitions and divestitures contributed a net decrease of $1.6 million or 0.7 points of growth, driven primarily by the divestiture of the Geosol business in Technical Nonwovens in the second quarter of 2019. Adjusted EBITDA for the quarter was $12.4 million, a decrease of $13 million. Manufacturing inefficiencies in the Thermal Acoustical Solutions segment and unfavorable mix and lower cost absorption in Performance Materials both contributed to this performance. Notably, Technical Nonwovens drove 30 basis points of segment EBITDA margin expansion compared to prior year. I’ll talk in more detail about each segment later. Consistent with our guidance last year, we invested $1.9 million of severance-related expenses in the fourth quarter, to align our expense structure with end-market conditions. This investment was all related to headcount reductions and will return approximately $4.5 million of run rate savings in 2020 and beyond. Adjusted loss per share was $0.17 per share, down $0.69 from the fourth quarter 2018, including approximately $0.07 of incremental amortization associated with the Interface acquisition. Turning to Slide 6. Full year 2019 sales were $837 million, up $51.5 million, with net acquisition activity, adding $81.5 million to sales, offset by FX headwinds of $16.3 million and lower tooling sales of $1.2 million. Resulting organic sales declined $12.6 million or 1.6%. Adjusted EBITDA of $80.4 million and adjusted EBITDA margin of 9.6%, declined $9.9 million and 190 basis points, respectively, from 2018. Cash generation of $23.9 million in the quarter and $86.9 million for the year was supported by improvements in working capital. This includes $15 million of cash generation from factoring of accounts receivable that would normally have been collected in first quarter 2020. Debt reduction continues to be one of our top capital allocation priorities with $14 million paid down in the quarter and $52 million in 2019. Total outstanding debt on the company’s credit facility was $273 million at the end of the year, for a net leverage ratio of approximately 3x adjusted EBITDA, as defined in our credit agreement. Capital expenditures in fourth quarter 2019 were $8.6 million and $35.9 million for the full year at the low end of our previous estimate. Moving into 2020, we anticipate lower capital spending of approximately $25 million to $30 million, as larger investments, particularly in Thermal Acoustical Solutions, are predominantly behind us. Fourth quarter effective tax rate of 1.3% and full year 2019 tax rate of 8.3% were both impacted by the goodwill impairment charge that is not tax deductible. Adjusted for this, the tax benefit associated with pension settlement charges earlier in 2019 and other adjustments, the full year tax rate is 29%, driven higher by losses and jurisdictions where a tax benefit is not recognized and tax law changes. We expect the 2020 tax rate to be in the range of 25% to 27%. Moving to Slide 7. I’ll discuss our segment results, starting with our Thermal Acoustical Solutions segment. This is our global automotive business that specializes in providing innovative engineered thermal and acoustical solutions for vehicle underhood, underbody, powertrain and exhaust applications. Fourth quarter sales in this business were $86.1 million, down organically 3.1% or $2.7 million. Adjusted for $3.2 million of lost sales from the General Motor strike in October, sales are up $0.5 million organically. Regionally, North American sales were down from fourth quarter 2018, largely on lower sales of Acoustical products, partially offset by higher sales of thermal shields. European part sales grew slightly more than 5%, net of unfavorable foreign exchange with continued volume gains on selected platforms. In China, while the overall market continues to be down year-over-year, Lydall’s part sales were up significantly, as new programs continue to ramp. Tooling sales of $10.2 million were up $3.9 million compared to prior year, contributing 470 basis points to segment sales. Foreign exchange, primarily the euro, reduced segment sales growth by 100 basis points or $900,000. Profitability in the Thermal Acoustical Solutions segment was negatively impacted by $4 million, or 460 basis points of additional operating costs compared to the prior year. In North America, we continue to see overhead costs, increase temporary labor and overtime, while our European operations continued to incur incremental expedite and outsourcing costs because of higher OEM delivery volumes. In addition, unfavorable product mix, specifically lower volumes of higher-margin acoustical products impacted margins with fourth quarter adjusted EBITDA margin of 6.6% down 640 basis points from prior year. Moving to Slide 8. I will cover our Performance Materials segment, which provides specialty filtration and engineered sealing solutions to a variety of end markets and industries globally. Sales of $55.8 million were down $9.8 million or a decline of 15.1% organically. The contraction was driven by softer end markets in our sealing and advanced solutions segment, which was down almost 19% on broad weakness in all regions. Sales in our filtration segment were down 8.3%, with gains in air filtration offset by lower liquid filtration volumes. Foreign exchange headwinds were offset by higher inorganic growth from the H&V product line acquisition completed in the second quarter of 2018. Fourth quarter segment adjusted EBITDA margin of 10% is down 570 basis points from the prior year period, impact – impacted by lower absorption on reduced volumes in our sealing segment and higher labor and overhead costs. These increases were partially mitigated by lower material costs, productivity improvements and improved SG&A efficiencies. Fourth quarter results include $4.1 million of intangibles amortization for Interface, which is an incremental $1.5 million from the same period in 2018. For the full year, intangibles amortization related to Interface was $16.2 million, an increase of $12.7 million compared to 2018. In 2020, we’re projecting amortization expenses related to Interface to be flat to 2019, approximately $4 million per quarter. Slide 9 covers our Technical Nonwovens segment. This segment produces air and liquid filtration media, as well as other engineered products for use in various commercial applications such as geosynthetics, automotive, industrial and medical among others. Sales in the fourth quarter of 2019 were $56.8 million, down 12.4% from prior year. Adjusting for FX headwinds of 70 basis points and another 330 basis points for the Geosol divestiture, organic sales were down 8.4% compared to prior year. Industrial Filtration sales were down $6.9 million or 18.6%, heavily impacted by lower sales in China and softer industrial markets in Europe. Advanced Material sales as reported are down $1.1 million but adjusted for the $2.1 million of lower sales from the Geosol divestiture, sales are up $1.1 million or 3.9%. In terms of profitability, adjusted segment EBITDA margin of 12% was up 30 basis points from fourth quarter 2018. This was driven primarily by productivity improvements and lower SG&A spending. Meta aramid fiber prices were up in the fourth quarter compared to prior year, but were offset by higher pricing. As a reminder, adjusted segment EBITDA accounts for restructuring expenses and severance expenses of 80 basis points in fourth quarter 2019 and 50 basis points in fourth quarter 2018. That concludes our review of the fourth quarter results. It was a challenging quarter with top line sales, impacts from the GM strike, weaker demand in Europe and China for Technical Nonwovens and continued weakness in Interface sales. Given the end market conditions, Sara discussed earlier, we enter 2020 with a focus on the key activities that we can control. On that topic, I’ll turn it back to Sara for her closing comments.
Sara Greenstein: Thanks, Randy. And in the spirit of the things that we can control, I’d like to close with some comments on our focus areas for 2020. In Thermal Acoustical Solutions, our priority is to mitigate higher labor and overhead costs to offset the mix impacts of the significant sales drop of high-margin acoustical fiber-based products. In Technical Nonwovens, we will focus on further market penetration of new products and innovation that is accretive to our portfolio. And in Performance Materials, we will continue to drive a more flexible and agile cost structure, that enables us to react to changes and market demand. And across all segments, we’re focused on the stability and growth in China, acknowledging the current uncertainty around the coronavirus. Across the enterprise, we remain fully engaged in improving working capital and accelerating strong cash flow generation in 2020, which will enable the company to reduce its outstanding debt and improve our net leverage ratio. Although many challenges lie ahead, we’re cautiously optimistic for the future. We truly believe Lydall stands apart from competitors in terms of our products, our focus on innovation and our relationships with our customers. Our focus for 2020 will be ensuring that as a company, we are strategic in how we utilize our capital, personnel and all resources across the organization. When I started this call, I shared with you that I believe that there’s a lot of value to be unlocked. And that this will require some patience and a lot of hard work. At Lydall, we have a strong foundation of assets, we have a strong customer base, we have very dedicated employees, and we are building an exciting new strategic vision and plan that we will share with you in the coming months. The fact is that trust is earned from what you do, not just what you say. I always say words matter, actions matter more. I experienced this firsthand, growing up on a farm in the midwest, where I learned very early on, the value of hard work, always showing up performing and most importantly, keep your word. I recognize these values in Lydall’s culture and employees, and I will look to foster them. Because I know that we can and will win together. With that, let’s open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Edward Marshall with Sidoti & Company. Please go ahead.
Edward Marshall: Good morning. Sara, welcome to the call. I’m looking forward to working with you in understanding your vision for the company. Good morning, Randy, Brendan. How are you?
Randy Gonzales: Good morning, Ed.
Brendan Moynihan: Good morning, Ed.
Edward Marshall: So with the context of the commoditized products in which you see existing – in the business and the more commoditized they’ve become. I’m wondering if we could take a step back and look at the earnings power of the business historically. I’m wondering if you – if in your vision, do you feel that, that is achievable over the next, say, few years?
Sara Greenstein: So when I look at our portfolio, Ed, as I said, I mean, we certainly have some end markets in which we operate, that is marching towards a more commoditized position. And yet, with those very same customers, we’re actively innovating with them around their portfolio to become more differentiated product. So my comment that I made in my remarks is reflecting the fact that we have the footprint and capability to deliver in a commoditized market, while simultaneously the relationships and technical expertise and capability to continue to innovate. And I think that in providing my early perspective, acknowledging that and that, that is a foundation upon which we can continue to grow is useful, and we certainly will.
Edward Marshall: Got it. So when I look at the description of commercial performance, I’m wondering how you plan to target it, looking at, say, pricing actions, expanding your product lines to, say, innovation, which I think you just mentioned, or finally finding larger – or larger number of customers within the base. I’m just kind of trying to understand the commercial performance piece that you called out as one of the initiatives.
Sara Greenstein: Right, right. And I mean, I would say all of that. And – right? A big part of the process that we’re following as it relates to laying out the strategic vision is to understand exactly that, the markets that we play in, the trends around those markets and our ability to compete in those markets and make the conscious choice around where best to deploy capital, both human and financial to ensure that we’re driving real value. And so I would say in the near term, it’s about ensuring that we have further penetration of the products that we’ve launched, and in the mid and long term, it’s using this strategic process that we have underway to inform where and how we continue to pursue and deploy capital accordingly.
Edward Marshall: Got it. Got it. And then, I guess, following up on the capital comment. As I heard Randy say your continuing priorities are cash and – of cash is debt reduction. I’m curious if the pace of the debt reduction continues, understanding that balance of – your balance of your capital position between using that cash for the debt reduction and then also for the necessary changes, I guess, in the use of the business through either restructuring or severance actions as well as growth potential as we move forward.
Randy Gonzales: So I’ll take that one, Ed. So in our cash modeling and debt pay down modeling, we’re very comfortable in respect to being adequately able to continue to pay down debt in an aggressive manner like we did in 2019. In addition to continuing to fully fund our capital programs, many of which are carryovers from last year, which have a clear return on investment, have a good business case and gives us the ability to compete in different products in different markets that we haven’t been in, in the past. So I think it’s consistent with the theme on what just – what Sara just said, about deploying capital in the correct way, we’ll be able to fund those completely.
Edward Marshall: Okay. Great to hear. Looking forward to kind of the developments over the next several quarters. Thanks very much.
Randy Gonzales: Thanks, Ed.
Sara Greenstein: Thanks, Ed.
Operator: [Operator Instructions] Our next question is from Chris Moore with CJS Securities. Please go ahead.
Chris Moore: Hey, good morning, guys. Yes, I know you’re obviously still very much in the kind of big picture-analysis mode. I was – and Sara started to touch on a little bit. I was wondering maybe if you could just walk through the margin challenges on a segment-by-segment basis, kind of from that ability, things that are under your control and areas that are more end-market related, like, for example, on the TAS side. Maybe just kind of compare the fiber versus metal in terms of where you have control and where you don’t.
Randy Gonzales: Yes, Chris, this is Randy. Certainly, within the TAS segment, in 2019, we continue to talk about the operational challenges. So the expedited freight, the outsourcing, the overtime, that continue to be a challenge for us in Q4. Along with the challenges of the unfavorable mix between the thermal products and the acoustical products, I will say that, that unfavorable mix, we see continuing in 2020, but we anticipate being able to offset those with the improvements in the operations in 2020, which earlier in the year, we’ve already seen significant improvement so far.
Chris Moore: Got you. That’s helpful. Maybe just on the $64 million charge. So obviously, it’s all in Performance Materials, it looks like it’s focused on Interface. So the outlook sounds like it’s stable for fiscal 2020. Are there end markets that you’re questioning that maybe are no longer kind of longer term viable to you? Just trying to get a better sense as to what drove the write-down at this stage?
Randy Gonzales: So I don’t think it’s a question of end markets or a technology shift. So all regions, all markets are down. There is exposure to ag and construction, like we’ve talked about, there’s exposure to class 7 and 8 trucks. There is exposure to India, so it’s more of a decline in just the end markets. It’s – we’re not losing share. What drove the goodwill impairment, the $63 million goodwill impairment is essentially the lower volume and the reduced cash flows going forward than what we had originally anticipated. So in the whole approach of goodwill impairment, if your carrying value is higher than fair value, then you have to write-down the asset. In the case of our modeling, we took a market approach, combined with an income approach and an income approach means a discounted cash flow’s approach, when we model that out, the math worked out to be a goodwill impairment.
Chris Moore: Got you. Last question, just in terms of timing. So it sounds like by the end of Q2, you’ll have that kind of the report done. And is that likely something that would be talked about on the Q2 call? Or that’s a kind of summer of July-type time frame when we would hear, kind of, the good, bad and the ugly?
Sara Greenstein: The expectation at this point Chris is that we will certainly share the strategic view and that road map in the second half of this year. I don’t anticipate that coming out in the Q2 call.
Chris Moore: Got it. Okay, I appreciate guys.
Operator: I’m showing no further questions. This concludes our question-and-answer session. And the conference is also now concluded. Thank you for attending today’s presentation. You may now disconnect.